Operator: Good morning, and thank you for standing by. Welcome to the conference call to announce the Results of the Third Quarter of 2024 of GPA. Those who need simultaneous interpretation, we have this tool available on a platform. [Operator Instructions] This video conference is being recorded and will be made available at the company's IR website, where the complete material of the earnings release is available. You can also download the presentation from the chat icon. [Operator Instructions] During the company's presentations, all participants will be in listen only mode. Then we are going to start the questions-and-answers session. [Operator Instructions] The information contained in this presentation and any statements that may be made during this conference call regarding GPA's business prospects, projections, operational and financial goals are beliefs and assumptions of the company's management and are based on information currently available. Forward-looking statements are not guarantee of performance. They involve risks, uncertainties and assumptions because they refer to future events and therefore, depend on circumstances that may or may not occur. Investors should understand that general economic conditions, market conditions and other operational factors may affect the future performance of GPA and may lead to results that will be materially different from those expressed in such forward-looking statements. Today, with us, we have GPA's CEO, Marcelo Pimentel; and CFO and IRO, Rafael Russowsky. Now I'm going to give the floor to Mr. Marcelo Pimentel to start the presentation. Mr. Pimentel, please.
Marcelo Pimentel: Good morning, everyone. Thank you so much for your interest in attending the conference call to announce the results of the third quarter of 2024. We chose to open this meeting with a video of the new Pao de Açucar campaign that we launched in September and which highlights the strong bond between Pao and its customers in addition to rescuing the theme of happiness, which is so typical of the brand. I'll talk a little bit more about this campaign, which is very symbolic and important for us throughout the presentation. Now starting the presentation, the numbers that we are reporting confirm the consistency and assertiveness of our work and show a constant evolution with every relevant -- with very relevant highlights and solid operational advances. On Slide number 4, I start with the highlights of this quarter. We need to celebrate the advance of our adjusted EBITDA margin, which reached the highest level since 2021, 8.9% in the quarter and which has been evolving for eight consecutive quarters. The gross margin has reached 27.7%, growing 1.1 percentage points compared to the third quarter of 2023, reflecting the acceleration of gains in commercial negotiations and operational improvement in our brands and formats. I also highlight the generation of free operating cash of R$366 million in one year, an improvement in R$216 million compared to the last 12 months ended in the third quarter of 2023, showing the consistent advance in our profitability. We grew in same-store sales by 5.0%, a result higher than in the second quarter last year, which was 3.4% with an acceleration of the supermarket format. Extra grew 5.8% and Pao de Açucar grew 4.6%. The Proximity format maintains its consistency and advanced 4.6%. In e-commerce, we continue to be leaders in the food industry in the country with advances both in 1P and 3P channels. We grew 17.2% this quarter with an amazing penetration in perishables, reaching more than 35% of the baskets sold in digital. In conclusion, I want to highlight the progress in the reduction of pre-IFRS 16 financial leverage, which reached 2.9 times compared to 8.8 times one year ago. Now moving to the next slide. Let's open the highlights with the strategic pillars, as I always comment with you. Starting with top line. So total sales have reached R$4.8 billion in Q3. If we exclude the direct sales model of allies, we reached a total of R$4.6 billion, which represents a growth of 4.5% in this quarter. We had a lower impact of seasonality compared to Q2 '24 with an annual growth accelerating month after month and same-store sales also accelerating compared to the previous quarter. We grew 5% in the period driven by Pao de Acucar and Extra brands. Extra has been having gain after gain, quarter-after-quarter. And in this period, it reached 5.8% growth in same-store sales, the highest growth in this quarter since 2022, driven by increase in volume, especially in perishable items. I would like to highlight the effectiveness of the review of our mix and category management that we started in the second quarter. We continue to advance this work, and we hope to end the end of the year, which also includes a conversion of 60 stores of the brand, 27 of which have already been completed. Throughout this year, we will carry out the review of clustering and pricing and promotions in stores and the strategic review of our assortment. The results so far are quite promising, both in margin and in sales, confirming the potential of the brand in its positioning as a mainstream neighborhood supermarket. In Pao, we had an acceleration in sales as compared to the previous quarter. We reached 4.6% in LFL, also with an increase in volume and average prices. We also highlight the perishables categories. In the Proximity format, we grew 4.6% in same-store sales with a significant contribution from stores that we opened from 2022 onwards. These units have a double-digit sales growth in LFL, which shows assertiveness in the expansion project of this format. As in previous quarters, we grew 1.5 percentage points in market share compared to small supermarkets in Greater Sao Paulo, thereby confirming our expansion strategy focusing on this market. In the customer pillar, we have maintained a level of excellence with 82 points in NPS with continuous evolution of the quality of service to our customers. It's worth mentioning that this advance was 7 points compared to the third quarter 2023 and an impressive 20 points as compared to Q2 2022 when we started this reconnection journey. And we saw improvement in all our brands, which demonstrates our consistency in these processes. The higher level of customer satisfaction is translated by the growth of our share of wallet, especially premium customers. We had an evolution of 5 percentage points in the last 12 months, added to constant growth of the premium and valuable customer base, which is a fundamental part of the business strategy of Pao de Acucar. Also to reinforce this connection with Pao de Acucar customers, we launched a new campaign in September, which you could see at the beginning of our meeting, and it says if you were happy, this is so good. The campaign highlights the strong bond between all in its audience, highlighting the theme of happiness. In an increasingly omnichannel shopping scenario, the campaign emphasizes that our brand is available wherever customers want, offering good value in product services and connection with the customer, adding to inspiring and creating moments with happiness. The campaign significantly raised the brand recall, especially in freshness and quality. Another relevant point was the increase in the number of downloads of our app, which more than doubled compared to the previous year. Another important lever for customer loyalty, our private label already accounts for 21.7% of total sales of our brands, of all our companies with emphasis on Extra reaching 25.9% penetration. Private-label items are present in eight out of 10 shopping baskets. The value proposition of this business is to offer high-quality products comparable to category leaders at extremely competitive prices. Advancing in the digital pillar, we recorded another quarter of strong growth. We reached a 35% share in perishables, an important milestone that contributes to sustaining the profitability strategy of our e-commerce. We also registered an increase in 17.2% in the revenues of e-commerce with a sales participation of 12.5% representing an increment of 1.4 percentage points in relation to the previous year with a margin of contribution that is growing, impacting positively in the company's result. In the next slides, we are going to bring a summary of the evolution of our expansion projects. We opened 12 new stores in the third quarter of this year, 11 stores of Proximity, seven lojas Minuto Pao de Acucar, four Mini Extra and another one Pao de Acucar Fresh in the city of Santos. In this context, I highlight the model of Proximity of Pao de Acucar Fresh, a format that offers clients a different experience, offering a different mix of perishable products similar to a supermarket format according to the convenience of a grocery store adjusted to the needs of everyone's day-to-day. We already have five stores of Pao de Acucar Fresh. They have presented positive results, reinforcing our trust and continuity of the new openings of this format in the next few years. In the period of 12 months, there are already 43 new stores, 41 of Proximity and two open stores of Pao de Acucar. The stores inaugurated in 2022 brought R$694 million in incremental sales in the quarter. It's important to emphasize that our expansion focus continues being premium Proximity format in Sao Paulo with the banner Minuto Pao de Acucar, which presents fast maturity and high profitability. In closing this slide, we have the highlights on profitability. Rafael is going to comment in more details about our financial performance and the advances initiatives that took us to reach this gross margin of 27.7% and 8.9% of adjusted EBITDA margin, a historic milestone for GPA that reflects the consistency of the gains and the process of turnaround. Also, it's important to emphasize the impact of retail media in our results. Slide 7. We see here a great potential of this front of business as well as the results that shows that in the first nine months of 2024, we have already doubled our results when compared to the same period of previous year. We are advancing the first stage of the project, creating solid basis with important advances in monetization, especially of assets in store. We also have efforts towards the construction of a close relationship with brands and suppliers. And we have developed a technological ecosystem to support this operation. In the sense, we have already had partnerships with more than 100 suppliers. For the next few years, we still have a lot of room of potential so we can extract results from retail media. We are starting Phase 2 when we are deepening our knowledge of our clients, so we can offer solutions that are more and more relevant to our partners, combining physical and digital assets and commercial intelligence. By doing so, we are going to optimize omnichannel in the companies and in the campaigns. And we are going to make available more and more relevant and impactful contacts with our clients. Last slide, we have our agenda for social initiatives, culture, and environment. In the social impact pillar, we launched another addition of the program, Maos na Massa hands-on in partnership with Projeto Arrastao to train 20 people above 40 years old to work in retail. And we registered a donation of 272.6 tons of food to the program against waste. 122.7 tons that were collected monthly on our stores, Pao de Acucar and Extra. We also have a partnership with the app Food to Save that fights food waste. And the pilot project was successful. With five stores, we obtained a positive result with 95% of sold bags. In October, we advanced that, and we implemented a partnership in more than 200 stores in Pao and Extra, and we wanted to avoid 1.5 ton of food waste by the end of this year. So closing this chapter and the pillar of promotion of diversity and inclusion, we adhere to the campaign interconnected voices to fight violence against women and women and the coalition to end violence against women and girls, and we are signatory of this. We want to obtain a target of 50% of women in leadership positions by 2025. And now I close my first comments and I turn the floor to Rafael to comment on financial performance. Rafael?
Rafael Russowsky: Thank you, Marcelo. Good morning, everyone, who is here with us in the conference. We start from Slide 10. We present GPA's total revenue, which reached R$4.8 billion in the third quarter of '24, representing a growth of 1.9% compared to the third quarter of '23 with emphasis to the Proximity format, the focus of our expansion, which increased by 13.7% in the period. This increase is composed of a same-store increase, including the calendar effect of 5% and the opening of 43 new stores in the last 12 months, including 12 in the third quarter of this year. On the other hand, total growth was negatively impacted by the closure of 10 stores in the quarter, three Extra Mercado stores with a focus on improving profitability, and one Pao de Acucar store, which was closed due to a real estate development in the area. I also highlight the impact of the rebalancing of the Aliados format, which although it presented a reduction in sales contributed to improvement in profitability. Sales dynamics in the third quarter of '24 showed a lower seasonal impact compared to the observed one in the previous quarter with growth accelerating month-on-month. During the period, we maintained a strict discipline in executing our plan to evolve profitability and improvement of customer experience. As a result, we achieved another consecutive quarter of growth in the volume of our operations in addition to achieving market share gains. Pao de Acucar grew 4.6% in same stores with acceleration of the growth presented in the previous quarter. This growth was driven by the combined effect of volume growth and average price with emphasis to the categories that make up for perishable department. Proximity format also showed same-store growth of 4.6%. Stores opened from 2022 onwards continue to amplify their contribution to our business, showing double-digit same-store growth, which highlights the quality of the expansion projects implemented in recent years and the effectiveness of our investment strategy. In addition, it's important to highlight the significant advance of 1.5 percentage points in market share of this format compared to smaller supermarkets in Greater Sao Paulo according to Nielsen data. In Extra Mercado, same-store sales increased 5.8%, the highest growth rate in a quarter since the first quarter in 2022. As in the Pao de Acucar brand, we observed an increased volume and average price in the perishable categories. As Marcelo mentioned, in the second quarter of '24, we started a project to review the assortment mix and category management of Extra Mercado brand. We have good expectations for the performance of the brand in the coming quarters. And finally, e-commerce continues its robust growth trajectory already observed in previous quarters. In the third quarter '24, the channel's revenue reached R$551 million, representing an increase of 17.2%. E-commerce penetration in total sales was of 12.5%, up 1.4% points from the same period a year earlier. One of the pillars of our differentiation in this channel is the focus on perishables, which stands out for the high quality of products and effectiveness of the picking process, everything leveraged by the trust that our customers have in our brands. Marcelo also mentioned that for the first time, we overcame the level of 35% of our e-commerce sales with perishables in 1P format, an exceptional result that places at a high level of differentiation in the experience offered to our customers. In addition to accelerated growth, we have been able to increasingly monetize the digital channel. We reached a double-digit contribution margin this quarter, helping to dilute the expenses of our stores in 100% ship-from-store operation. Slide 11, we present the profitability performance measured through gross profit and adjusted EBITDA. The third quarter of '24 demonstrates again the effectiveness and consistency of the initiatives implemented throughout '23 as well as the continuity of the projects started in '24. As you can see here in the chart above, gross profit reached R$1.2 billion with a margin of 27.7%, an important increase of 1.1 percentage point compared to the third quarter '23. We remain firm in our profitability evolution strategy, focusing on capturing gains through projects starting in the previous year. I highlight the composition of this result, the retail media initiative which has gained more and more relevance for increasing the company profitability. We also have other important initiatives that continue supporting the increase in our profitability. One of the main ones is the reduction of stockout and the Extra Mercado assortment review project. As for stockouts, we have already observed a positive evolution in recent months after some changes in our operational and control processes. As for the revision of Extra Mercado mix, we are very confident with what we have in the coming quarters, and we expect a positive impact on sales growth and margins of this brand. We continue to have a solid pipeline of initiatives that allow us to continue to focus on profitability and increasing operational efficiency, always in search of sustainable and long-term results. In summary, we continue to have a solid pipeline of initiatives that allow us to continue to focus on profitability and increasing operational efficiency versus the last quarter of '23. It's important to highlight the growth of adjusted EBITDA of 22.4%. The adjusted EBITDA margin recorded in the third quarter '24 reached the highest level of '21. As it can be seen in the chart, marks the eighth consecutive quarter of evolution, confirming once again consistency and effectiveness of the initiatives we are implementing to improve the profitability profile of our business. Presentation here on Slide 12, we come to the financial performance of net income. As you can see in the chart, the third quarter of '24, we recorded a continued net loss of R$253 million. In comparison, in the third quarter '23, we recorded continued net income of R$805 million, strongly impacted by positive and non-recurring effects that totaled R$1.1 billion. These effects include R$804 million related to the reversal of Cnova's losses, R$163 million related to the segregation of Exito and R$133 million arising from the monetary adjustment of tax credits. Finally, in the third quarter of '24, the net loss from discontinued activities was of R$58 million mainly impacted by labor contingencies of Extra Hiper, which represented R$46 million. The amount of those labor contingencies in the third quarter of '23 was of R$96 million, representing a reduction of R$20 million versus the third quarter of '24. Now on Slide 13, you can see the managerial cash flow over the past 12 months. In this period, we generated a free operating cash flow of R$366 million, an improvement of R$216 million compared to the last 12 months ended in Q3 2023. As can be seen, this superior performance is mainly due to the growth in the pre-IFRS 16 adjusted EBITDA and lower use of CapEx, which have significantly contributed to the improvement in cash flow. Cash flow after the sale of assets has reached R$1.6 billion in the last 12 months, mainly impacted by the sale of non-core assets and by the follow-on. It should be noted that in Q3 '24, we received the first installment related to the sale of our gas stations in the amount of R$96 million out of R$200 million expected. Finally, I would like to mention the improvement of R$148 million in net financial cost, mainly as a result in the reduction of our gross debt. On Slide 14, you can see more detail about the reduction of our debt. As can be seen in the chart, there was a reduction of R$997 million in net debt between Q3 '23 and 2024. This result reflects the positive results mentioned in the previous slide, including the generation of R$366 million in operating free cash flow and efficient execution of sale of non-core assets and the funds raised in our follow-on. The reduction in financial leverage was also significant. Considering the pre-IFRS 16 adjusted EBITDA, our leverage went down from 8.8 times in the Q3 '23 to 2.9 times in Q3 '24. This advance reinforces our commitment to reducing leverage and to a stronger and healthier capital structure, a result of a combination of efficient balance sheet management and continuous improvement in the operating performance of our business. Now I end the presentation of our financial results, and I open our questions-and-answer session.
Operator: Now we are going to start our question-and-answer session. [Operator Instructions] Now let's go to our first question. It comes from Ruben Couto, sell-side analyst of Santander. Ruben, we are going to open your microphone for you to ask your question. Please you may start.
Ruben Couto: Good morning, everyone. I would like to hear you on margins, especially gross margin. I think that this has been a highlight, and it has been evolving fast. And it looks like there is a lot to come up once you review all the mix of Extra and retail media. And even so you get to the 9% guidance of EBITDA margin. So, what do you see in terms of gross margin in the midterm, considering that a lot has already happened, but there is still a lot to happen in the next 12 or 24 months that you say is the next phase of the company. So, what do you see that can be a sustainable gross margin in the midterm? Can you share that with us? Thank you.
A – Rafael Russowsky: Thank you, Ruben. Well, great question. We are very happy with the evolution of the gross margin. And as you said, we are very happy because everything that we committed to deliver, we are delivering with very strong and solid work of our sales team under the leadership of Joaquim. But also, we are very hopeful and optimistic about the future, especially because of the things that we have set. The success started in the second half of 2022 and the first half of 2023 when we launched the category management review program for Pao de Acucar. And based on that work, we learned a lot, especially in terms of reduction of low-performing lines as well as the improvement or reduction of stockout. So the items that matter take more space in the shelves, and we sell them because they are available to customers. We learned a lot from that and we started seeing gains in Pao de Acucar and in 2024, we started expanding this to other channels. So we had Extra, which now is being rolled out, and we expect to continue seeing significant gains in gross margin in Extra, considering the penetration of perishables, talking specifically here butchery and bakery, which are the cash cows of Extra market. And thinking about the Extra market, we are piloting the same thing in Proximity stores. But for the Proximity model, this work is going to be very important because obviously, this is a smaller sales space that needs to be more and more accurate in terms of what is available to customers. So we are very hopeful that this will grow. Number two, if you see our results, we have the retail media work. So we are approaching this in phases. So we are getting to the end of the first phase, which is to capture the potential of the physical assets in our stores. So we still have a lot of work to be done in capturing digital assets, data assets, intelligence assets to customize customers with a supplier. But the good news here is that it’s not just us saying it’s our suppliers speaking. We have signed more than 100 contracts with our main suppliers of retail media that are looking into 2025 in the investment plan. So we expect that we will double the bottom line as compared to 2023, and we are going to continue to accelerate these results in 2024 in future years because there’s still a lot of work to be done here, especially in terms of customization, digitalization and monetization of data. Lastly, I would like to talk about stockout that is going to contribute to our gross margin. In 2024 – 2024 was not the best year that we expected in terms of stockout. We expected to have advanced more than we did. And it was only now in Q3 that we started seeing the result of all the work that we’ve been doing. This will obviously contribute to a continuing improvement in gross margin in the company. Obviously, we do not give any guidance in terms of the potential that we aim to achieve in our goal but certainly, our expectation is that it will continue to expand at current levels.
Ruben Couto: Very clear. Thank you very much.
Operator: Our next question comes from Rodrigo Gastim, sell-side analyst from Itau. Rodrigo, we are going to open your microphone for you to ask your question.
Rodrigo Gastim: Good morning. I have two questions to ask. Number one, going back to margins. The gross margin levers that you have mentioned that you have delivered so far, you've been in this process for a while. Where in this process are we now? How far have you evolved? Thinking of things that you have always talked about assortment, stock out and everything, how much more gain can you capture? This is my first question. And number two is an update in the asset sale plan. So you sold the gas stations this year, but what is there to be done still in this area? And what else can you do to create value for the company? Thank you.
Marcelo Pimentel: Thank you, Gastim. Well, as to gross margin, as I said, I think that the main points are these; we have been very consistent in terms of which are the points of capture that drive our gross margin. So aside from the sales mix or assortment, I would say, clusterization of stores, we've been doing important work to review store clusterization because this is related to the third point, which is pricing management, promotions management in our stores. So we migrated from a model where we had just one price for every store to a model that is much more accurate in terms of pricing, which is based on geo-referencing and the location of each store. So this has helped us to improve our performance. But still, this is part of the rollout of category management. So for Extra market, you will be seeing this along this quarter and throughout 2025. And for Pao de Acucar, it's rolled out already. And for Minuto and Mini Extra, this is still yet to be done. So we were underrepresented in Pao de Acucar, and we're advancing here. So when we talk about category management as a whole, we talk very much about the focus on perishables. But now what we are doing, especially as customers and premium customers are coming back is to work on support categories here, especially talking about hygiene and cleaning and personal care and hygiene. So these are the categories that our customers come to our stores to buy food and then they walk out, go somewhere else to buy special items. So we are increasing significantly the base and penetration of these categories because we adapted the value proposition of these categories. So we talked about retail media. We talked about stockout, and we're still working very intensely in expense management and here, especially in our offices, our teams, contract revisions. So as you know, since 2023, we launched the process or the project in partnership with Falcon for the zero base. And 2025 will be the third year in a row of base budget that we are going to have. And this is going to give us a gain in terms of expense penetration against total sales. So once again, we had another quarter of reduction. And for 2025, we expect to continue reducing even further sales expenses until then. Now I'd like to give it over to Rafael to talk about sales.
Rafael Russowsky: Gastim, how are you? Just an additional comment about margins. I would like to draw your attention. So Marcelo mentioned the main points. So commercially speaking, we, of course, have a good margin level, but you should see that most of the initiatives that we have are initiatives that do not touch directly our commercial policy. So stockout are fully under our management capacity with no impact in price. Retail media, same thing, no impact in the margin of the merchandise of the good. Another point that might go unnoticed is our driver for expansion is related to margins. And when we look at margins, these margins are above the average consolidated margins. So as we go deeper into penetration, we will have a marginal increase as this format grows, which is very important to emphasize to you. Marcelo mentioned B3, and this is the third year of investments in cost control and which has provided quite important results in terms of cost control, and this is very clear to investors and analysts when we look at our results. Now moving to the sale of assets. We have sold and you're really familiar with our history. We sold R$2.6 billion or rather we raised R$2.6 billion in the last 12 months, a little bit longer than that. It was R$1.9 billion in a sale of assets and R$700 million in follow-on. So we still have some levers, some assets, some stores that we shut down that may be sold to. But this volume that we have executed of R$1.9 billion is more or less crystallized. So there are some additional assets, but most of it has been realized. It's always possible to think outside the box, but of course, the plan. There are projects that are always assessing, but there's nothing really concrete or something that could be commented on at this moment because once again, those are projects. They are still in the beginning, and we still have to work more on that. And lastly, I'd like to add something also important. That is the fact that we received from our participation from our share, a dividend of R$13 million this year -- due to a rebalance of portfolio. This is naturally going to release capital from B3, and we are going to have access to additional dividends as a result of that. So we had an extraordinary dividend of R$13 million and now in the third quarter of additional R$30 million. So this is also important for you to have in mind in the next quarters.
Rodrigo Gastim: Just another question I was asked a lot yesterday. The Lab management, how is the focus for the next 12 months? What do you have in terms of maturity? I think there is an important maturity in July, if I'm not wrong, of R$740 million. I'd like to understand what are you doing to deal with this maturity? How is your strategy with regard to that?
Rafael Russowsky: Great question, Gastim. We are in a clear process in contact with our financial partners. We already have in a proactive way, a few alternatives that are quite relevant. And I can confirm that this topic is already being addressed in the following months, maybe weeks or days, we are going to bring more info on that. But the system is well taken care of. Thank you very much.
Operator: The next question is from Andrew Ruben, a sell-side analyst from Morgan Stanley. Andrew, we are going to open your audio so you can ask your question. Okay. Please go on.
Andrew Ruben: Hi. Thanks very much for the question. I'm curious on the digital operations if you can update us on how profitability in that channel compares to the physical stores? We saw you called out some improving contribution margins in digital in the quarter. So just an update on digital versus physical profitability would be helpful. Thank you.
Marcelo Pimentel: Well, this channel is something that makes us really proud of. We have expanding it significantly. And with regards to the contribution margin, it is already operating as the second top contribution margin of our different channels, for sure, above the average of the company. And we have a work that is still expanding. And how is that taking place? This is taking place by means of the expansion and penetration of our partnerships with marketplaces and also the strengthening of our 1P in which we are expanding the penetration of perishables. So we are celebrating this quarter, exceeding the mark of 35% margin of IP from perishable sales. And this is part of the strategy that respond to 2 points of interest for us. One, profitability because for sure, it is -- make the margin contribution to expand, but also the topic of frequent visits. So clients buying perishables, they are recurring customers. They buy more often. And generally, they have a ticket that is more profitable and more constant. And a second point that is worth emphasizing is the level of downloads. We also celebrate more than 2.2 million downloads of our app. It was an exponential growth that corroborates the accuracy of this strategy of connection with the client and especially talking about premium and valuable customers. They, in average, buy from 6 to 9 times more than regular customer. They have a higher loyalty rate. And exponentially, they are more profitable than average customer. So not only we want to continue growing penetration in digital, but we also wanted to grow by means of the expansion of the base of multichannel and omnichannel client base that we have.
Andrew Ruben: That’s great. Thank you.
Operator: Our next question Danniela Chambo Eiger sell-side analyst from XP. We are going to open your mic so you can proceed. Our question is from Felipe Rached, sell-side analyst from Goldman Sachs. Felipe, we are going to open mic, so you can ask your question. Felipe, you may proceed.
Felipe Rached: Good morning, everyone. Thank you very much for answering my question. I'd like to ask about profitability, but now more towards expenses. We saw another quarter well controlled, but it would be great if you could provide more color on what can we expect from now on? Gastin question, you talked a little bit OBC, but I'd like to understand, is there any measures to still be taken to restrict expenses or to reduce them? Or are you focusing on leveraging itself? The dilution of expenses from now on depends on the top line growth or expenses cut out. And just a follow-up, I'd like to confirm I understood correctly. Today, the main leverage for improvement of leverage is gross margin. Could you please provide more color on that? Am I correct?
Rafael Russowsky: Thanks, Felipe. Okay, control of expenses. We have kept a track record that has been consistent and continuous. And we understand that, yes, there is still room for us to cut the structural and structuring expenses of the business. A lot of what is happening now, and of course, in 2022, we did most of the work, and now we are trimming everything. But now we are getting into a more granular moment. A great deal of the opportunities come with the adjustment of the demand, especially talking about technology and automation of processes and which we are able to speed up productivity of our processes. And the technological team together with the other department teams are helping us speed up this process. We are more and more being accurate in investments in terms of new stores, especially when we are talking about Proximity stores. We have been able to make investments that are smaller and compared to the ones we did in the past. And we have been working a lot on the topic on stockouts. We are being more precise in supply chain. And this has been something that from this third quarter on, we are going to reap the results from the work we have done, especially supply chain of perishables that is more challenging to be done, especially bulk items. And we have been finding a pathway that has allowed us to have effective gains in this area. Contract-wise, we have -- we are working a lot in contracts of rents, in contracts -- a number of contracts that we have of large scale that impacts our store operations, and this has been an effective gain as well. The work that we have done with regards to sustainability in terms of polluting gases, not only reduce the polluting emissions that we have, but also bring gains in performance in effectiveness of energy and gases, and we are working on that. The refurbishment that we have had in stores, you saw that 27 stores from Extra stores, and we had secret premium Pao de Acucar stores, they also impact in terms of expenses because we have high-performance lighting system, AC that is optimized. And this is also to provide more effectiveness of relevant expenses for us. So I may affirm that we do not have a silver bullet, but it's a combination of many different things that will bring an improvement in the percentage of expenditure. We expect it to be incremental to operational performance. We don't want to dilute it exclusively in this regard of cut. Okay. About the main leverage being the gross margin. I would say that, yes, especially due to the volume of gross margin and the initiatives that we were able to implement that once again do not impact the commercial margin, the product margin, but they are in our hands in terms of process, logistics, and processes related to stockout management that is something extremely important to us. As Marcelo mentioned, we are not still where we’d like to be or where we thought we would be in terms of this topic now in 2024. However, it is getting clearer for us that we found our way. We have run some tests in terms of our homework, in terms of stockouts in some stores, and it has been providing and showing the results for us. So I would say, yes, this is the main leverage that we have from gross margin, but we cannot neglect the work that has been done in terms of cost management. A B3 Is something that Is still Important to us. Efficiency gains by means of automation. This is something that is promising. We have several projects that were already identified and some of them are already ongoing. And what we have said to the market with a lot of transparency is that despite the margin had drawn and we have several tools and leverage to increment margin, we still have here more leverages that could bring margin to an even higher level that we can see here. The challenge is that not everything that we want to do have the results that we expect. Sometimes the result is a little bit inferior. Sometimes it takes a little bit longer. But I’m sure that if you understand that all leverages that we have nowadays are going to work in the future, we have a potential of margin that is quite meaningful.
Felipe Rached: Great. Very clear. Thank you so much.
Operator: Our next question comes from Felipe Reboredo, sell-side analyst of Citibank. Felipe, we are going to open your audio for you to ask your question. Please, Mr. Reboredo.
Felipe Reboredo: Good morning, Pimentel, and Rafael. Here at Citi, we would like to understand the company's vision for cash management and leverage. What is the cash generation that you expect in a higher interest rate scenario? Does it make any sense to review store opening or to close stores so that we see an improvement in EBITDA margin that will translate in better bottom line? And a second question, a line that really got our attention was the increase of other financial expenses. Could you give us a little bit more color on what is the driver for this line and how it impacts cash generation?
Rafael Russowsky: Okay. I'm going to answer this question. Thank you for your two questions. Well, as to cash generation, I think that you are referring to our managerial cash generation schedule. So there has been a significant improvement when we look at the last 12 months. So the business is very seasonal. If you look quarter-on-quarter, you can tell, you can have a vision of the whole. You can see everything. So on the release, we always published a 12-month look. So what we call operational cash generation, there has been a significant improvement, especially if we consider the generation of operational cash through EBITDA for IFRS 16, but also a significant reduction in CapEx. Today, we have about R$600 million CapEx. And this is what we are likely to see and we announced this to the market and what you will see in the next 12 months, thinking of the 12-month basis. Now about new openings and closings, of course, we are always analyzing the economic scenario, the macroeconomic conditions and the company. In the last many quarters on a rolling basis, we have opened more or less 45 and 50 stores in the last 12 months, and this is our pace of openings. We should mention that this has contributed greatly to the company's cash generation. But once again, these are small stores, with a very low risk for their execution. These are stores that we discussed a lot. They cost about R$2.5 million, R$2.7 million to open. These are the Minuto stores. And therefore, they do not require significant CapEx with very, very fast maturation of about seven months, and they are very favorable for cash generation. Once again, we are always paying attention to the macroeconomic scenario, and we always pay attention to our cash generation capacity. It is true and you are right that in a higher interest rate scenario, there's more pressure on cash generation. We have more or less R$4 million of gross debt, and we, you everyone that sees the market that we were going to end the year with about 9% interest rate, and we are going to end with 12%. So of the R$4 billion that we have of debt, we are talking about more or less R$120 million additional cost. Of course, we're always thinking about this and factoring this in. And we think about this when we design our plan. Our CapEx is very, very low per store with an execution risk that is very small because it is spread through many stores. If one specific store doesn't work for any reason, its impact in the whole is very small. As to closings, you saw that this quarter, we shut down a few stores. There have been a few shutdowns in the sequence precisely to improve the company's profitability. We have a policy of looking at the performance of the store, trying to understand why it's not performing optimally and our policy of stop loss. There's no way for us to continue with a store that we don't see any prospects for improvement. But then on the other hand, any time we close a store, it has a negative impact on cash because sometimes we need to let go the workers to demobilize the store, equipment, labor. So yes, there is some negative cash impact. But despite that whenever we have opportunity of shutting down a store because we don't see any improvement prospects, that's what we do. When we look at other expenses, and I think you are referring to other expenses of about R$800 million in our cash flow table. There are many recurring items here. Let me go over a few of those for you. As you know, there was the ICMS agreement with Sao Paulo that we closed on Q2. So this agreement has two significant impacts. So we spent about R$100 million that we paid cash to have a more optimized balance of the cost of the agreement. So R$100 million plus R$40 million that accounted for 5% of the total amount of the agreement. So just the first item that we have the Sao Paulo's agreement, we have about R$140 million. Additional and thereto, there's about R$50 million of project execution, bank, lawyers, consultants, auditors that were necessary for us to do the R$2.6 billion that we had in terms of the sale of assets and follow-on. So this is about R$50 million, which is not a recurring number. Moreover, you can also see their labor about R$260 million in 12-month basis and we also have the restructuring very much along the lines of what I was saying. So restructuring this store shutdown, R$200 million cost of shutdown plus another R$50 million of other accounts that also impact that number. So it's a big number, but you see there has been quite a significant reduction when you look at the last 12 months in Q3 2023. It went down from R$1.5 billion to R$800 million, and we are likely to go on seeing this number going down even more significantly in future quarters.
Felipe Reboredo: Super clear. Thank you so much.
Operator: Our next question comes from Lucca Biasi, sell-side analyst from UBS. Lucca, we are going to open your microphone for you to ask your question, please.
Lucca Biasi: Good morning, Marcelo and Rafael. Thank you very much for taking my question. I would like to ask you a question about lease. Today total lease payments is about 4.5% of your revenue. Now looking into the future, how much space do you see to dilute this through the renegotiation of rental contracts or maybe the dilution should come especially from revenue growth?
Marcelo Pimentel: So hereto, this is another thing that we've been talking a lot about, especially considering our idea of having a denser footprint in Sao Paulo. If you think that our stores are located in premium places and everything that we open by the nature of our value proposition, they are positioned in more premium locations with higher rental fees. What we have been doing is that every year and every quarter, we review all the contracts that we have a team dedicated to that. And what has helped us to dilute this slightly and not let this number grow too much. Much of the pressure coming from inflation. In our contracts, we have been able to optimize. So this is going to come from the growth in sales. This is something that we’ve been seeing and we are likely to go on seeing. Most of our contracts have a trigger of percentage. They are percentages that are much below what we have now. As sales grow, usually, it has a minimum – absolute minimum cash or it’s a percentage of sales. Now we have started seeing gradually stores going into the percentage model rather than a fixed rental. And our expectation is for this number to continue to grow as stores perform better and better as they’ve been doing. And now the good news is that we are seeing extra market leveraging sales, which is also going to help us in that area. So this is a theme that by nature, we have a differential because of the location of our stores, but the upside is that when there is a sales increase, so we have contracts that are triggered by sales percentage, and this will help us to dilute costs.
Lucca Biasi: Thank you so Marcelo.
Operator: Our next question comes from Nicolas Larrain sell-side from JPMorgan. Nicolas you can ask your question. Please you may start.
Nicolas Larrain: Good morning, everyone. Thank you for taking my question. I would go back to the gross margin. Could you break down this improvement in gross margin looking year-on-year? How much is related to a better mix because you're looking year-on-year? How much of it comes from promotions, retail media? What can you tell us in terms of breaking it down so that we can better quantify the gross margin?
Marcelo Pimentel: Hi, Nicolas. Good morning. We do not get into that level of detail, but what I can tell you is, well, it's everything. The breakdown of our gross margin comes especially from commercial agreements that we have signed with our partners. So Pao de Acucar is more and more being the reference brand for the industry where we offer mix and volume. So with the commercial context, looking at the market as a whole, for the industry, it's been more challenging to be able to have the full assortment, which is what drives the better gross margin. Within this context, we have been advancing more and more, especially with large suppliers in the commercial contracts. And these contracts are divided between fixed commercial contracts and volume contracts. So as our volumes grow, and that's why it's so important for us not to have growth just based on inflation, but to have growth based on volume growth, it triggers better contracts. And this is what has been good for us. We have many, many contracts that we have already signed, and we are renegotiating many others, more than 400. So what's new? Retail media, for example, is a channel that is increasingly more influential in a positive way in our gross margin. So as we said in the past, and it's important to reinforce, this is a new channel. It has been very important ever since it started, and we did not want to leave it in the commercial so that the money coming from the industry would not be mixed. So the commercial negotiate shelves, promotional actions in stores, whereas the retail media team, which is related to marketing, they respond to marketing department. So they have this media channel and negotiate it with our partners. So in this manner, we can trace the two sources of funds coming into the company. And the result has been positive. As we have said, we doubled last year's revenue, and we will continue to advance this in future years. We have a very bold plan for retail media. And it adds more and more and it's going to gain share in total numbers. Lastly, as Rafael mentioned, we have the expansion model of Minuto market. It's important to remember that this model was the one that we defined in 2023. We decided to review the strategy to concentrate the focus in the state of Sao Paulo and even more focused in the city of Sao Paulo and by the coast of Sao Paulo. And the EBITDA is close to the EBITDA from Pao de Acucar supermarket. It has been a precise model. And as it gains scale, it is contributing more and more to our gross margin. And just reinforcing, we have all the work on expenses control and I reinforce the intelligence of supply chain to our business and the intelligence of logistics for the business. In 2024, we were already able to reduce logistics costs for Aliados and Proximity and also other banners. So this is due to the concentration and the scale that we obtained. Our logistics team has been doing an exceptional work and growing and reviewing the contracts we have with our suppliers. And some details for you, review of fleet. We were at the distribution center. We are already reviewing contracts with review of fleets. A new fleet is more optimized with lower expenses with periods of downtime that is not as high, and that contributes to our margin. So the context, Nicolas, is a context of several elements that combined reflect on our gross margin. And we have a lot to do yet. We are glad to be reaching the end of this third year, delivering everything that we committed ourselves to, but we are even more optimistic about the potential that we recognize we still have and what we will be working in the next three years.
Nicolas Larrain: Thank you clear, Marcelo.
Operator: Our next question is from Gustavo Senday sell-side analyst from XP. Gustavo, we are going to open your mic so you can ask your question. You may proceed.
Gustavo Senday: Good morning, everyone. Thank you for the questions. I have two specific ones. One on the capital structure is a little bit more a follow-up. Do you have a leveraging goal for next year? I think you mentioned last year of 1 times or 1.5 times. Is that the same? And what is the time for that to take place? And another one for the shorter term. How is the dynamic of sales of the fourth quarter? We have heard from other players that September was a strong month. Is that expected for the fourth quarter?
Marcelo Pimentel: I will start from the last one, and then I'll turn to my colleague, so he can answer about capital structure. So the fourth quarter started really strong. October was quite positive. We saw an increase in consumption. And it's important to emphasize not only due to inflation, but also volume, and this is meaningful to us. October, we closed with a gain in market share that was quite meaningful, especially in the state of Sao Paulo, which is exactly where we have been working harder. And November started a little bit different. The beginning of November, we started strong. We are well prepared for the seasonality. We have been doing a work from the beginning of the semester, preparing ourselves to the seasonality of the fourth quarter. We have a month that already started on the e-commerce on a Black Friday month being quite successful every day, especially in our reference categories. And we are well prepared for the end of the month in our physical stores. So we are really happy with the beginning of the quarter and optimistic about the end of the quarter. In terms of capital structure, I think I have already mentioned that, and you also mentioned that in previous calls. And here, I wanted to leave it really clear from the structural perspective and from the market we are in, as I mentioned, some months ago, not many, everybody was waiting for the end of the year with an inflation rate of about 9%. And we are close to the end with an inflation rate of 12%. So for companies that are more leveraged or that tend to operate at a higher level of leverage, this is something that is in the way to say the least when you have a budget – annual budget for the company. However, for this retail business that is a high-volume business, but really limited margins and maneuver margins in terms of cash generation, I would say that those companies should operate not leveraged, not completely, but less leveraged. You mentioned 1.5 times, 1 times. I would say that for a company with profit generation, it would make a lot of sense from a technical perspective. And also from the theoretical perspective, we shouldn't be operating with leverage because unfortunately, we still do not have tax profit. We do not have the tax yield of that, tax yield. We are checking that every quarter. Operation has been improving and responding to the initiatives we have implemented. However, once again, from a sector perspective and business, the leverage of 1 times and 1.5 times would be more sustainable and reasonable.
Gustavo Senday: Okay. Thank you.
Operator: Let's go to the last question from Iago Souza, sell-side analyst from Genial Investments. Iago, we are going to open your microphone, so you can ask your question. Okay. You may proceed.
Iago Souza: Hello. Good morning. First of all, congratulations on the results. We have two questions here. I would like to understand a little bit better about the economic yields from Aliados. We saw that dropping over year, but you are saying that you are prioritizing profitability. I would like to understand in terms of profitability, is that higher than the average of 28% of the group? And the second question in terms of the changes of the contingent liabilities that are not provisioned. Since it's a quite meaningful amount, I'd like to know if you have in your radar any kind of resolutions in 2025 or if is that more towards the medium run?
Marcelo Pimentel: I'll take the first one on Aliados. We've been talking about throughout the year, and this is the year in which we are having the sales performance due to the adjustment route that we had to have. Aliados was born as a B2B channel towards small business and that back in the day and overtime, over the years, it was focused more on distributor, which compressed the gross margin of the business. And we were able to notice and we decide to solve this topic going back to the origin of what it should have been. So working with small retailers in which Mercado Extra, GPA Group and Pao de Acucar may work and may help those retailers in terms of assortment with a positive cost benefit. We have been doing two things: One, reviewing the whole base of clients, and we are bringing to our base new clients with the appropriate profile that need a better mix compared to what we used to have in the past that was concentrated on distributor. And the second one, our logistic models of Aliados. We have been working with our logistics team to optimize the logistics cost of Aliados. So here includes review of frequency of delivery, minimum orders. So we are -- we have clients to buy the mix. So we want this channel to be profitable to us. We do not open about EBITDA of a channel, but I can affirm that Aliados already had a low performance last year and had a quite meaningful performance this year during a transition year. So we expect for 2024 to equalize this sales. So sales will be comparable to this new reality. And we want to deliver a positive sales margin that will aggregate to the business once that we changed and we corrected the sales model and also the logistics model. So we are confident that Aliados next year after the correction is going to have a positive results in our channels of retail.
Rafael Russowsky: Okay. Just one addition in terms of Aliados. This is direct sales business. So the nature of this business is having lower margins. So of course, it is in a lower range of margin when compared to our business as a whole, especially when you talk about premium. So it's important to understand about this business that is in terms of really low investment. So we have more modest margins, but we have a profitability that is quite high because basically, there's no investment in that. We use our commercial capacity, our relationship with the sector and with clients, the small stores, so we can leverage this business. So we have almost no investment or really low investments. Therefore, the return on investments are really high. In terms of contingent liabilities, I can say that, unfortunately, this is another topic that is new to us. We have discussed that to the market and being as transparent as they can be in terms of the dynamic, I may say that this is a liability that is relevant to us. But again, this is a systemic problem. It's not only our company that is facing that. The whole sector is facing that. So we have to mention that from the contingencies that we had, most of them, if not all of them, are contingencies "from the sector related to the same topics for the same hypothesis, the same thesis." Therefore, there's nothing new or more aggressive that GPA does that the rest of the sector is not doing. So those thesis are being discussed in class entities of retail market. So it's no different from what you see in other companies. Those are processes, Iago. They are quite long. A great deal of them, especially those related for PIS and Cofins and federal taxes that represent more than half of this total volume that you see in our financial statements, they do not have a final decision in this third instance. So we are still in the administrative instance. So they are extremely long processes. And lawsuits for ICMS and state taxes, when we just recall, when we did refi’s (ph) the agreement of Sao Paulo in the beginning of the year. Beside the agreement, we had lawsuits that were ongoing for more than 20 years. And they had clearer decisions and they were already in the Supreme Court. And still, they were ongoing for more than 20 months. They were object of that discussion, of the agreement, and they were lawsuits dated back to 2001. So we have long lawsuits that I cannot affirm. I'm not able to tell you how long is it still going to take for us to finish them all. But once again, this is an issue related to the sector, not only restricted to the company. And our best vision is that they are going to be really long, and we are going to have a discussion that we demand more discussion in depth of the courts, of the sector, the administrative courts and judicial courts. So unfortunately, I cannot give you a more precise answer than that because I do not have that amount of precision, okay? And I want to be prudent.
Iago Souza: Great. Thank you for – very much for your answer and congratulations on your performance once again. Thank you.
Marcelo Pimentel: Thank you very much for attending our conference call. The last and most important quarter of the year for retail also represents the closing of this first three years of our turnaround project. We are very happy to get to this milestone. What we have built along this journey allows me to say with confidence that we’ll start 2025 at a new level with a much healthier company and much better prepared for a period of new gains and sustainable growth. As always, we have a lot work to do a fourth quarter to deliver, but I can tell that I am encouraged by what we have seen and done so far. I am sure of the new opportunities that will come from continued operational improvement. I would like to take this opportunity to express my deepest gratitude to the entire team in the offices and stores and distribution centers. We remain firm and focused without any distraction. Thank you very much, and have a good day.
Operator: The conference call has now ended. The Investor Relations department is available to answer any questions you may have. Thank you very much for all participants. Have a good day.